Operator: Excuse me, everyone, we now have all of our speakers in conference. [Operator Instructions] I would now like to turn the conference over to Richard Cribbs. Sir, you may begin. 
Richard Cribbs: All right. Thank you, Samantha. Good morning, and welcome to our third quarter conference call. Joining me on the call this morning are David Parker and Joey Hogan, along with various members of our management team.
 This conference call will contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those contemplated by the forward-looking statements. Please review our disclosures and filings with the SEC, including without limitation, the Risk Factors section in our most recent Form 10-K and Form 10-Q. We undertake no obligation to update or revise any forward-looking statements to reflect subsequent events or circumstances.
 As a reminder, a copy of our prepared comments and additional financial information is available on our website at ctgcompanies.com under our Investor Relations tab. Our prepared comments will be brief, and then we will open up the call for questions.
 In summary, the key highlights of the quarter were our asset-based divisions' revenue, excluding fuel, increased 6.4% to $139.6 million due to a 5.2% increase in average tractors, a 0.4% increase in average freight revenue per truck and an increase in our refrigerated intermodal freight revenues. Versus the year-ago period, average freight revenue per loaded mile was up $0.057 per mile or 3.3% and our miles per truck were down 2.5%. 
 Freight revenue per tractor at our Covenant Transport subsidiary was flat versus the prior year quarter while our refrigerated subsidiary, SRT, experienced an increase of 2.4% and our Star Transportation subsidiary experienced a decrease of 1.4%. Compared to the year-ago period, the asset-based divisions' operating cost per mile, net of surcharge revenue, were down approximately $0.04 per mile mainly due to lower casualty insurance and a favorable reversal of deferred rent expense related to our Chattanooga building purchase. These decreases were partially offset by higher employee wages and net fuel cost. 
 Gain on disposal of equipment was only $100,000 in the third quarter of 2015 versus $1.4 million in the third quarter of 2014. The asset-based operating ratio was 90.2% in the third quarter of 2015 compared with 96.1% in the second quarter of 2014 -- in the third -- that was actually the third quarter of 2014. The 2014 quarter included a $7.5 million reserve for an out-of-period cargo claim and the 2015 period included a $3.1 million increase in fuel hedging losses compared with the 2014 quarter. Adjusting for those 2 items, our operational progress produced approximately 320 basis points of operating margin expansion. 
 Our Solutions logistics subsidiary increased revenue by 29.4% versus the year-ago quarter. Purchased transportation and other operating expenses decreased as a percentage of revenue resulting in OR improvement of 210 basis points to 93.4% from 95.5% in the year-ago quarter, the result being an increase of operating income contribution from $0.5 million in the prior year quarter to $0.9 million in the current quarter. Our minority investment in Transport Enterprise Leasing contributed $1 million to pretax earnings or $0.03 per share. The average age of our tractor fleet continues to be very young at 1.7 years as of the end of the quarter, equal to a year ago. 
 Since December 31, 2014, total indebtedness, net of cash and including present value of off-balance sheet lease obligations, has increased by approximately $17 million to $244 million. In August, we purchased our headquarters building and surrounding property, which was previously financed under an operating lease. The purchase price of approximately $35.5 million exceeded the $17.1 million present value of the remaining lease stream, which would have matured in April 2026. At the end of that lease period, we would have had to renew the lease, buy the facility at a potentially higher price and higher interest rate or relocate. In addition, the interest rate on the new financing is effectively fixed at 4.2% versus an implied interest rate of 8.2% on the previous operating lease. Our capital allocation committee determined this to be a straightforward choice. We completed the purchase of 216,372 shares of our Class A common stock for $5 million. And with available borrowing capacity of $61.6 million under our revolving credit facility, we do not expect to be required to test our fixed charge covenant in the foreseeable future. 
 The main positives in the third quarter were: one, a 3.3% increase in average freight revenue per loaded mile; two, a year-over-year increase in our professional driver employee headcount; three, decreased operating cost on a per mile basis; four, a 5% year-over-year reduction in chargeable accidents per million miles as measured by the Department of Transportation; and five, improved operating profitability from our Covenant Transport and Solutions subsidiaries. The main negatives in the quarter were: a 2.5% decrease in utilization versus last year; the deterioration of operating profitability from our SRT subsidiary; and three, the unfavorable fuel hedge position. 
 Our fleet experienced an increase to 2,721 trucks by the end of September, a 23-truck increase from our reported fleet size of 2,698 trucks at the end of June. Our fleet of team-driven trucks averaged 966 teams in the third quarter of 2015, which was a 1.6% sequential increase over 951 teams in the second quarter of 2015. Therefore, we actually increased our overall driver count by approximately 40 drivers during the third quarter of 2015. Availability of team-driven trucks is especially important in order to help meet our expedited shippers' stronger fourth quarter demand for their time-sensitive freight. 
 Similar to August and September, utilization for the first 2 weeks of October has underperformed the prior year. Fourth quarter performance will depend to a significant extent on the level of involvement of our asset-based and Solutions subsidiaries and the supply chains of our LTL, e-commerce, parcel and omni-channel shipping customers during the 2015 peak freight season and the associated pricing for our services. 
 In general, we expect a solid fourth quarter. The combination of our major peak season shippers have contracted for a higher volume of committed capacity than last year but at lower contractual rates on average than last year. The combination of volumes, routes and pricing is expected to be efficient and attractively profitable, perhaps generating more income on the contractual side than last year's contractual freight. However, this will leave a lower percentage of our fleet available for seasonal spot market business, which was extremely profitable last year but might be less so this year. 
 We are not yet prepared to forecast whether our net income will improve versus the fourth quarter of 2014. Regardless, absent unexpectedly high peak freight market demand, earnings per share may decrease compared to the 2014 quarter, given current market conditions, our fuel hedging position at current fuel prices and the headwind of the 11% to 12% higher estimated quarterly weighted average diluted share count for the fourth quarter of 2015. 
 Thank you for your time, and we'll now open up the call for any questions. 
Operator: [Operator Instructions] Our first question will come from Jason Seidl with Cowen. 
Jason Seidl: I want to focus on, I guess, 2 things. One, I know you guys picked up a very large e-commerce shipper recently to start running direct. How should we look at that as impacting the overall level of profitability now that you're running direct for that customer? And are there -- is there going to be any additional investment in teams needed for them? 
David Parker: Jason, this is David. From a profitability standpoint as it compares to our other e-commerce customers, the margin is about the same. So we make some -- we're not shy of saying we make some good money on that because the requirements on that stuff is so, so tough. I mean, to the minute on delivery times and weekly or daily meetings, depending upon how the week or day is going, so the service is just very, very stringent. So no, just because we bring on another large e-commerce does not mean that it's any more profitable than the other ones. There's no doubt that over time as we grow it, if you're less deadhead, there's all kinds of things that go into profitability and ORs by lanes and those kinds of things. But in general, it will be basically the same as we have. Now if we're able to take the trucks away from -- not from our current "e-commerce customers" and we take them away from the bottom-fetching accounts and wait and feed and grow that, then yes, it does become more profitable for the organization. And that is the second part is what we will -- and the vast majority of what will happen is that taking, producing, waiting and feeding to take it away from other pieces of business that are not as profitable. 
Richard Cribbs: As well as continuing to add trucks as we can to increase overall freight. 
Jason Seidl: Okay. And I guess, look, I understand 4Q has difficult comparisons in terms of that sort of e-commerce spot market business that you had last year, exceptionally good pricing. Could you talk a little bit more about the outlook for overall truckload pricing as we head into 2016? We've talked to a few people. It seems to have slipped a little bit, still going to be up at least, but it's not as strong as it was, I guess, 6 months ago. What are you seeing out there in the marketplace from your customers? 
David Parker: It's interesting, Jason. I just -- I serve on the Atlanta Federal Reserve transportation committee, and we just had a meeting, I don't know, this month, October 6, something like that, a couple of weeks ago. And it's been one, a tale of 2 cities out there that the savings on gasoline, all of us, you and all the write-ups that we all do in trying to figure out what the economy is doing, and the consumers never spend $25 a week on gasoline, et cetera, that we've lived with so far this year. But it was the only positive thing that we really had discussions about is that the consumer did -- savings did drop a little bit. And to them, the consumer is starting to spend some money. So if in fact that's the case, then it becomes very encouraging that the consumer is going to start doing something that's helping us. That said, aside from that, everything else was not bad. Freight is not bad. And as I think about the other transportation folks on the reserve with me on the committee, everybody is basically saying the same thing, and that is freight is not bad. It's not 2014, and we all know this. I mean, we're fooling ourselves if we think it is. It's more 2013 than it is 2014. So that said, the wildcard is does the consumer start doing something? Does the ELD mandates really start happening that we all believe and 95% sure that they will, but it hasn't yet? Does that truly start happening? So to answer your question, if consumers spend and ELDs come about, I think that next year is 4% to 5%. I think if those 2 things don't happen, I think it's 3-ish. That's what my gut is telling me right now. 
Jason Seidl: But even in an environment that is 3-ish percent and still showing some underlying economic growth, you guys can still be able to grow the company, correct? 
David Parker: Yes. 
Operator: Our next question will come from Brad Delco with Stephens. 
A. Brad Delco: David, I was wanting to ask on this sort of contracted or committed peak season volumes that you have that you say is greater than last year. What sort of visibility do you have on that? Is that kind of a take-or-pay contract? How much of that anticipated volume do you have clear line of sight or expected demand on? 
David Parker: I would say that it kind of goes to probably -- and I'm going off the top of my head right now, Brad, that's a great question. But I would say that it's 60% to 70%, Joey, is firm, solid. We know it's going to start basically on this date and we're going to get paid X. I would say that 30% of it would be ones that if they run the trucks the way they think they're going to run the trucks, then we get what we want out of it. So I would say about 60% to 70% of it is pretty solid. And the other -- and to be honest with you, the other say 30%, 30% to 40%. The other 30% to 40%, if it's a miss, it's not like it goes from, "Hey, you've got it all until you don't have any of it." I mean, if they miss it, let's just use the number 35%. That 35%, if it's a miss, is missed by 20%. It's not like it goes to 0. 
A. Brad Delco: Yes, got you. No, that's good color. So I can read that as if there are certain number of days where you're basically selling the truck and the driver, not necessarily miles and utilization of the truck. 
David Parker: That's correct. 
Joey Hogan: By this time of the year historically speaking, the number is pretty good. So if we're forecasting X for peak, it's plus or minus and it can be plus. It's plus or minus around that, it's a pretty good number. So if you'd asked us 2 months ago, it'd be different, a month ago, different. But today, it's a pretty good number. I think it's just a matter of if it's supposed to start on Tuesday for this account. Does it start Monday? Does it get pushed a week? Does it start a week early? So you're pretty much there at this time of the year. 
A. Brad Delco: So what's your overall view on peak then, Joey, based on what these customers are saying or how they're prepared to move freight? 
Joey Hogan: I think Richard did a good job in the script and the release kind of talking about it from a standpoint of volume. We feel very good about volume. Last year, we all know it was a really strong year. I think the volume, as I sit here today, is going to be up significantly versus last year. I think a lot of that or a good portion of that is we have added, Jason asked the question, a new customer that's pretty large in the e-commerce space. And so that, we've done a good job with growing that customer and servicing that customer. So the volume is up nicely. Pricing, I agree with the pricing. Pricing overall is going to be down. It's a shot, it could get close to last year. Mix, as it's only related to mix and length of haul, but I think it's too early to say that. Remember, as we talk about peak, we've been very consistent now for a year as we talk about peak. When we started coming through the first quarter, we pointed to this quarter being could we duplicate fourth quarter 2014? And so as we moved throughout the year, we've tried to give a very transparent update throughout the year. And the thing that's changed if you go back and look the last 2 or 3 quarters is the volume part of that. And so with this update, we have said volume will be greater, but we're still pretty much saying the same thing on pricing. David has already said that freight right now is okay. I agree with that. I would say it's okay. Could the peak, instead of being plus or minus, is it maybe a little bit more minus on volume than plus? I think it's again too early to say right now. But peak has already started for us. We've had 2 customers that we've already started moving some peak for work or what volume that we would call peak. And then some more starts pretty heavy next week, and then we're going to start building it between now and Thanksgiving. So we feel pretty good right now. 
David Parker: And we're thankful we have 100 to 120 more team trucks going into the fourth quarter this year than we had last year. 
A. Brad Delco: So when we look at, and I know -- I don't want to bring up this can of worms. But if we look at spot rates, I mean, you would expect sort of peak-ish supply-demand dynamics to be that week before Thanksgiving. 
David Parker: Yes. 
A. Brad Delco: And then Richard, I did want to ask just -- this'll be my last one -- a question on this fuel hedge. If fuel prices stay flat at current levels, let's say, throughout 2016, what would the change in dollars or earnings be with the fuel hedge next year versus 2015 because I know it's been a pretty meaningful headwind for you all year. 
Richard Cribbs: Yes. At this point, it would be a little over $3 million annually in fuel cost savings, which is about $2 million after tax. So you're talking about between $0.08 and $0.10 a share kind of benefit for us. 
A. Brad Delco: For next year versus this year. 
Richard Cribbs: Yes, '16 versus '15. 
A. Brad Delco: Okay. 
Richard Cribbs: That's right. 
Operator: Our next question will come from Aaron Reeves with BB&T Capital Markets. 
Aaron Reeves: I just wanted to ask first about utilization. I know that came in a little bit lower than what we were thinking. But I guess my question is how has that started to trend now that we've gotten into October? I wonder if by your guidance and commentary about volume, can we maybe expect some up utilization year-over-year in Q4? 
David Parker: Aaron, that's an interesting question. Number one, October has been similar to September. And I mean, it's -- and August, it's down. Some of that -- a little bit -- most -- some of that, not a lot of it though, that's not true. I just want to say we swapped out some on the dedicated piece of business with some long haul into short haul. But it's not material from that standpoint. So it's mostly on the team and on the SRT side. But it's showing the same trends. I would probably say that it will not -- I would say that it's going to be down for the quarter only because when you heard me talking that 65% of that, that I said is fixed, there is a lot of that on the team side and on the solo side both that are 250-mile a day trips. Some of them is peak. Some of them are 700-mile a day team. So it's not like these teams are going to be just scorching. So they are going to get -- the pricing is wonderful, but they're going to -- I think as it pertains to utilization, there's going to be downward pressure on a lot of that. So the fourth quarter will have to be down over '14 because if you remember in '14, you had a lot of -- 2 or 3 of the parcel companies that came out hurting in 2013, just absolutely bought capacity and guaranteed miles whether they utilize them or not. And so that had a big, what's the word, tailwind, that's a good one, tailwind to it. So I would -- just sitting here, it's got to continue what you're seeing so far in the third quarter. 
Richard Cribbs: Yes, Aaron, just a little more color, kind of looking at how we trended through the quarter -- through the third quarter. We ended up being down about 1% in July. And then August and September, we were down closer to 3% utilization to come out with the 2.5% we were down for the quarter. And the first couple of weeks of October were very similar to August and September, more down 3-ish kind of numbers. But we do have some tick-up in some other months, at least we believe we do. And so we're thinking it's utilization down but probably no more than 1.5% at worst. 
Operator: Our next question will come from Scott Group with Wolfe Research. 
Scott Group: Can you talk about the -- so the pricing around the stuff during peak, why is it down year-over-year? 
David Parker: It's because that -- when people start giving you opportunities in August -- July and August and September, the market is not as strong as it was in 2014. And so they negotiate a little bit harder. And that's really what it boils down to. I mean, I'd like to say something different, but it's not. 
Richard Cribbs: Yes, I think also, Scott, you keep in mind what David said earlier. 2013 was such a tough year for the parcel carriers in not meeting service that I think you saw in the commentary from those larger guys that they maybe overbought capacity in '14 to make sure they could hit service numbers because frankly they weren't able to raise rates from 2013 to 2014 because they hadn't served so well in 2013. So they made sure in 2014 that they would hit service targets so that they could raise rates in 2015, which is my understanding, they've been able to do that because they did hit service numbers. But they also said we probably overshot. And so we overcommitted on '14. So if you think about that, the supply-demand dynamics, they didn't need as much this year as they needed last year. Now that has somewhat been replaced or more than replaced by some additional freight with new customers that we have in peak to get our volumes up. But that first piece of that was a little lower than what we got last year on the contract pricing. But we still expect good spot pricing, and then the new customer also has good rates. 
Scott Group: So is that the difference of why this is kind of specific to you'll see that pricing down a little bit, but overall pricing for next year you still think is up 3% to 5%? 
David Parker: Yes, that's correct. 
Joey Hogan: Again Scott, I would encourage you and everybody, whether or not people believe this or not because we had such a frothy fourth quarter last year, we saw this starting -- coming out of peak last year. And we were very transparent in January because what we hear from our customers, how frothy it was pricing-wise. And as we were looking throughout our planning for this year, I mean, we were very consistent and have been that pricing in the fourth quarter is going to be very, very, very difficult to duplicate. And so -- and that's just because of again, as Richard said, how busy it was and how much capacity was bought and the pricing around that. So I think it's planned out as we expected. And then -- and I agree, too, that the freight market is softer than we had expected coming into the peak. 
Scott Group: No, I think you guys have been very transparent about that all year. I think we just want to get comfort that it's a fourth quarter issue and doesn't become a '16 issue as well. So in terms of peak, I know you've talked a lot about this. Can you try and parse out like the more traditional peak, the non-e-commerce stuff? And how is that peak business shaping up for you? 
David Parker: That's a good question. Yes, as you think about "peak business," non-e-commerce and that kind of stuff, we really get into retail. I mean, that's really what -- yes, I mean, that's really the turkeys in retail. And then I'm talking about refrigerated from turkeys, Thanksgiving and those kind of things. I want to say that, that is probably down, Scott. I mean, we don't have -- even if there's a lot. I mean, a lot of our retail customers are, but I would say that it's not as solid as it was a year ago on the "nonpeak," where they're tying up capacity. And I want that versus can you help me this week and those kind of things. I want to add 4 more loads a week to your business. That part is not as solid as it was 12 months ago. So I don't know if that helps you or not right there. But at the end of the day, I think it goes kind of hand-in-hand with what we've experienced in September and in October on the non-e-commerce, which leads me to believe that e-commerce is probably going to be unbelievable in the fourth quarter and everybody is going to keep getting on their computers and buying stuff versus running to the mall and purchasing stuff. It's what that kind of leads me to believe. 
Joey Hogan: Absolutely. 
Scott Group: Yes. No, that seems fair. And then just lastly, just 2 quick things. One, do you have an update just timing-wise, what you're expecting for ELDs? And then do you have any preliminary expectation for your fleet growth next year? 
Richard Cribbs: Well, on ELDs, I was glad to see that the -- I guess it was FMCSA did not change or the government didn't change the date when they came out yesterday. And so it's still set to report on October 30. And so that's the first time they hadn't changed it or pushed it back in a while. And it's only 15 days away. So if they weren't going to be able to do it, I would have thought they would've pushed it to November. So anyway, that's kind of exciting from my standpoint that, that ELD mandate could come into play as soon as 2 weeks from now. On the truck growth, it's -- we're still predicting -- projecting some truck growth. We have more trucks today than we did going into fourth quarter last year. And so the expectation is that we're still going to be able to grow the trucks some. I think right now, we're kind of saying 2% to 3.5%, it's not a big number. But hopefully that is converting more of those higher percentage into team trucks, where we are picking up the most new freight. 
Operator: Our next question will come from Barry Haimes with Sage Asset Management. 
Barry Haimes: One, just a question on your comments on the contract pricing for next year, that 3% to 5% range. Do you see that varying much by line of business because you guys do several different things? And I know a lot of that contract pricing gets done early in the year or spring. But once in a while, you see some things happen in the fall, too. Are there any markers you have so far, where in the last month or so, someone's renegotiated price or done it different next year? 
David Parker: The vast majority of ours is in that April to June 30 time frame is where we kind of get a sense for what the year is going to a hold during that time because we've just got a lot of top customers there. I will say that we've got a few -- a handful of customers that are January kind of time frame, 2 or 3. There's not many but a couple of large ones. And again we take every customer by lane with operating ratio by lane. So whether it is hauling exempt commodities on the bottom to hauling e-commerce at the top, every lane is priced out according to the OR that we're doing with that customer. And we may go into a customer and say, "As a matter of fact, I don't want to increase this lane, I want you to give me 2 of these going to that particular lane because it's operating so nicely." So that's the way in which our negotiations go, but -- so there will be differences in those, and it's hard to break out, this section here going to be 5% and this here is going to be 2% because we've got so much discipline 4 or 5 years ago that we truly look at it customer by lane and we deal with it. And just because it's a customer that's hauling paper, and if they've got 105% OR, we're not going to haul it. I mean, it's just -- that rate is going to go up. I mean, we're not going to say it's the paper industry, and therefore, it's okay to haul it for 105% OR. We don't do that. There's no doubt that service requirements definitely dictate pricing. I mean, you've got some customers that say, "Get it there within a week," and that's bill a freight and drop it at terminals and that carries one rate versus some customers says, "You've got 48 hours to be in Seattle, Washington," that's another rate. So all of that goes into it, Barry. So I think at the end of the day, all of it is going to be in that 3% to 5% range and for all of it. 
Operator: Our next question will come from Jason Seidl with Cowen. 
Jason Seidl: Yes. Richard, I think you made some commentary about the ELDs. And yes, I agree it's nice to see that doesn't look like we're going to push it back. But 2 questions. One, what have you seen thus far with some of the smaller carriers actually doing it ahead of time, trying to sort of catch up, if you will? And two, what sort of expectations do you have for the ELD mandate? How do you think it's going to kick in? How do you think it's going to let you evolve throughout 2016? 
Richard Cribbs: Well, my take, and it'll be a lot of opinions I think but not this part, but we have several clients within our factoring business, within our leasing business, those types, running brokerage freight for us, those type things. And so we have some insight into the smaller carriers. And it is not a very large percentage that has moved to ELDs already. Most of what we've heard and in discussions with them is until that rule is official, we have no reason to go ahead and move to it. And so we haven't. And once that rule is official, then we'll start planning out what we're going to do. But we feel like we'll have 2 years to do it. That said, what we -- as we care about these other carriers that are doing business with us and running freight for us, we are suggesting that they do phase that in over the shorter period because it'll be very difficult if they wait all the way until 2 years in order for them: a, to keep their trucks heated; b, to be able to move the freight on a timely basis and get it to their -- each of their customers' shipping points on time. And it's just going to be difficult. So we're -- that's what we're instructing. And we feel like the better-run, smaller businesses will start adding that throughout 2016, and they won't wait. And so I think we're going to see a lot of these other carriers start moving to that slowly through 2016. And by fourth quarter of 2016 that there could be a pretty heavy percentage that have moved to ELDs or at least moved, call it, half their trucks. And that's a guess, so a lot of opinion here on that. But I think it will be progressive through the year. I don't think it's going to be everybody wait until late 2017 to move to ELDs. So that's... 
Jason Seidl: Okay. Well, listen, I read that your opinions were overall after, right? So have you heard about any shippers doing sort of the same thing that you guys are going to do with the carriers that you work with in terms of sort of having them try to map out a plan for ELD implementation? 
Richard Cribbs: Yes, we've heard rumors of and more than rumors of certain shippers that are going to want to at least know all their carriers' plans for implementing ELDs. There is a liability concern that if a shipper allows a carrier or if a broker allows a carrier to run for them that doesn't at least have a plan for ELDs and somebody runs over their hours of service that's running that freight for them and has a bad accident, that there's an opportunity maybe that, that shipper could be attached to it, and so there is a concern there that they need to be careful to at least have dotted their Is and crossed their Ts that they've addressed that with their carrier base. And so I think that could cause -- I haven't heard anybody say, "Unless they're running 100% ELDs, we won't use them." I haven't heard that yet. Obviously, that will be the case as you move sometime late '17. But I think that you could see some push and aggressiveness and maybe the shippers will get to that point, some shippers... 
David Parker: There's no doubt in my mind they will. 
Richard Cribbs: Yes, so David thinks they will. The legal side of this is going to be too big for them. 
David Parker: Well, yes, they're not going to sit there and wait until the fourth quarter or the second year to hope that their freight gets moved. I mean, they're going to come up with plans. 
Joey Hogan: Yes, it's going to get real aggressive in the bid season next spring. And for that reason, I think there's going to be a lot of discussions between the shippers and the carriers about that. And I think the shippers will use that if assumed depending on your view on freight for 2016, I think for those carriers that haven't adopted, shippers will use that in a very, very, very heavy way in their negotiations for pricing for 2016. For me to keep you on, you're not on ELDs, I can't afford the risk, I can only afford to pay you blank, do you want to keep the freight? So I think it's going to get real aggressive. Once we get past, I think, the next bid season, we'll get -- it'll kind of start ferreting itself up fairly quickly. 
Operator: [Operator Instructions] Our next question will come from Donald Broughton with Avondale Partners. 
Donald Broughton: If I'm doing my math right, I'm backing into some numbers here, your gain on sale was down pretty dramatically in the quarter on a quarter-over-quarter basis, provided I'm calculating $0.04 of headwind compared to what you had a year ago. We're hearing that the used truck market is certainly valuations have weakened. Is that an ongoing challenge to you? Can you kind of help us quantify and think about that part of the market as you certainly have a new fleet -- you're in a very -- the catbird seat is how you handle this evaluation fluctuations. Give us some insight into what you're thinking. 
Joey Hogan: Yes, Don, I think the used equipment market has softened up here the last couple of months. There's no question with that, a; b, I agree we are -- our fleet being young, as young as it is, it still provides us opportunity to be a little ahead of the market for our equipment as far as what's placed in the marketplace. I think one of the things that we're finding a little bit with is that we've moved our trucks especially on the expedited side very well the last couple of years. And so the miles frankly are maybe a little higher than maybe it had been, not bad but just a little bit higher. So a combination of the market slowing a little bit and miles a little bit higher. It's a little bit tougher for us to sell the equipment. Are we concerned about moving the equipment? No, we're not. It's just getting the gains that we've had. And again technically, our policy, we try to manage it to break even. And so that's -- and we really work hard to under no surprises. But obviously, it's not perfect, and we're going to have some small losses or gains either side of that. I still feel good. It has softened. I think we're going to do some things in '16 that may help us a little bit as far as our equipment, as far as another group of equipment that we're going to try to bring into the market maybe a little earlier than the market as a whole so that will help some. But yes, it's softened. There's no question about it, but I'm not -- we're not concerned about moving what we have. 
Richard Cribbs: The proceeds were actually half of what they were last year. We just didn't have as much to sell. It wasn't that we couldn't sell. It was just we didn't have as much to sell in the third quarter this year as we did last year. In addition, in the fourth quarter, we had planned on disposing some more trailers that we were going to hold off on because the trailer needs are so strong by these expedited customers. And as we have this heavier volume, peak volume that we've contracted, peak volume that we've talked about already, we decided that we needed to keep more of those trailers around through the end of the fourth quarter. So those will be disposed of in the first quarter, but it will keep gains lower than original expectations because some of those have some -- still have pretty good market value. The trailer market is still very strong. 
David Parker: I agree with that. 
Richard Cribbs: So the truck market, even though it's weak, the trailer market is extremely strong on used trailers. 
Donald Broughton: But doing the math right, and this was obviously a good quarter for you, a strong quarter for you, but you would have put another $0.04 plus of earnings to the bottom line had you had as strong a gain on sale this quarter as you did a year ago, correct? 
Richard Cribbs: That's correct. We did in all transparency. We also had about the same amount from the benefit for the deferred rent that we got to book to our numbers this year that was from the sell of a build or purchase of the building. And so I think that kind of evens out frankly. 
Operator: [Operator Instructions] Okay, gentlemen, there are no further questions in the queue at this time. 
Richard Cribbs: All right. Thank you for your time, and we'll talk to you next quarter. Bye. 
Operator: Thank you, ladies and gentlemen. This concludes today's teleconference. You may now disconnect.